Operator: Ladies and gentlemen, welcome to the Temenos Q4 2020 Results Conference Call and Live Webcast. I am Mira, the Chorus Call operator. I would like to remind you that all participants will be in listen-only mode and the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it’s my pleasure to hand over to Max Chuard, CEO. Please go ahead.
Max Chuard: Thank you, operator. Good afternoon, and thank you for joining today’s call. I hope you’ve been able to access our results presentation on our website. As usual, I will start with some comments on our Q4 and full year performance and then I will hand over to Takis for an overview on the financial performance before giving some concluding remarks. Starting on Slide 7, 2020 was clearly an unprecedented year. Banks suffered big disruptions and saw the delayed deals particularly in the first half of the year. However as soon as we had rolled out the business continuity plans, the banks returned to the strategic transformation projects. Temenos was able to adapt very rapidly to the changing environment. We supported our customer with minimal disruption through remote implementations. We adapted our sales process to the new normal and recorded strong sequential improvement as early as Q3 when digital transformation project resumed. Turning to Slide 8, Temenos has consistently delivered over the last decade on and we will continue to do so. Although our 27 years of history we dealt with several global crises like the global financial crisis and the sovereign debt crisis and Temenos was impacted for one or two quarters. But always we were able to rebound very quickly and emerge even stronger and that's because our industry is a structural -- going through a structural change and digitization is an imperative for banks and the urgency to change in fact has never been greater for them. The majority of banks remember are still using system so that they back more than 50 years. Banks have no choice but to transform and this will drive sustainable long-term growth for Temenos. Moving to Slide 9 we delivered a strong sales performance in the fourth quarter with a continued sequential improvement on Q3 2020. Our sales closure rate improved materially as the predictability of our business returned to near the 2019 level so successively we reached $11.5 million up 26% in Q4 and this took our full year successively bookings to $34 million of 61% on 2019. Total software licensing declined 17% in the quarter. Though this was a material improvement on Q3 and our sales pipelines continued to develop strongly which give us strong confidence for 2021. Thanks to the strong profitability of our recurring revenues and the flexibility of our cost base. We were able to grow our earnings with EBIT up 11% in the quarter and operating cash flow up 12% for the full year. We are also announcing a new share buyback program of up to $200 million which will start on the 19th of February. And finally we will propose for CHF0.90 dividend which will be subject to the AGM approval obviously. On Slide 10, this highlights the evolution of our performance through our 2020. And as I said we were clearly impacted in the early part of 2020 as banks focused on business continuity, but we rebounded strongly in the second half, our strategic project returned. While still below the 2019 levels, I'm pleased with the material improvements recorded in Q4 2020 across all our financial KPIs. Turning to Slide 11, the demand for SaaS continues to exceed with SaaS ACV up 26% in the quarter. This takes a full year ACV growth to 61% on SaaS revenue, up 44% in the full year. Banks understand the operation and cost benefit to be gained from using SaaS and cloud and there is increasing regulatory acceptance globally. Our clients recognize that running our software in the cloud allows for faster updates, lower infrastructure cost, elastic scaling an active resilience. And the economics offered by SaaS solutions are opening the banking market to new entrants are opening the banking market to new entrants. And these include specifically Challenger Banks and Syntex. And therefore, that provide us with a largely incremental opportunity for Temenos. On Slide 12, I'd like to spend a time, a bit of time on the SaaS pipeline which is growing exponentially. The ACV booking growth recorded in the second half of 2020 is a testament to the strong pipeline that we've been developing over the last two years. Our SaaS ACV pipeline grew by 200% in the last 12 months and that's a significant acceleration over the last year. This ACV pipeline will drive material growth in our SaaS revenue in 2021 and over the medium term. Turning to Slide 13, I'll give you an overview of our sales performance in the quarter. Overall, sales in Q4 continued to improve sequentially. We achieved stronger closure rates as banks started to resume strategic transformational projects. And this was reflected by the greater contribution also that we saw from Tier 1 and Tier 2 banks in the quarter. As already highlighted, we had very strong momentum in SaaS, notably in the US. And we've had good growth in new pipeline activity for license as well, this continued momentum from the last two quarter give us greater confidence for 2021. Our installed base continued to be resilient and accounted for 70% of our license sales in the quarter. Lastly, we had a total of 26 new names wins in the quarter across all products and it, this took the full year to 64 new logos in 2020. On slide 14, I am very pleased and very excited to announce that we've concluded two new strategic partnerships in the last few months. First with Salesforce where we will be combining the Salesforce CRM capabilities with a broad set of transaction capabilities provided by Temenos Infinity on the onboarding the Origination and the Services. This offering will enable banks to engage with the clients and employees in a whole new way. And the partnership offer great opportunity for Temenos, I would say in a very largely fragmented front office market. So this is really a great opportunity for us now. In addition as you've seen probably this morning, we've also announced and signed a strategic agreement with the DXC to accelerate the digital transformation program of DXC’s banking clients. And this offers large banks a viable progressive digital transformation platform, leveraging obviously our very modern technology and this is also very exciting as a new development. Moving to slide 15, I'm pleased with our performance in the US which recorded strong growth especially with our SaaS offering. The US market has been the strongest contributor for SaaS deal and our modern technology and our deep banking expertise driven very well with US challenger banks and Syntex. In addition our referenceability in the US continues to grow. In fact I'm very pleased that last weekend a Tier 1 bank went live on Temenos Transact. And finally our recent strategic partnership that I just mentioned with DXC and Salesforce provide a very strong platform for growth. So clearly those partnership we’ll focus a lot on the US not only the US but the US and Europe. So growth, strong platform for growth in 2021 and beyond. Moving to Slide 16, Temenos has once again been recognized on multiple occasions as clear leader in the software banking market. Notably in the core and digital banking space with a number of different accolades that we received by both IBS Intelligence and Forrester. And in addition to that we are very proud that our corporate and social responsibility program gained further recognition in particular by entering the Dow Jones Sustainability Index for both the world and the European level. And as you know as a company we are very focused on operating sustainably. And this is a key pillar of our culture and the foundation in which we conduct our business on a daily basis. Turning to Slide 17, we had 21 implementation go-live in Q4 And a total 99 in the full year 2020 and we recorded 307 go-live events so including of upgrades in 2020. So that’s nearly one go-live every day. Our clients continue to adopt a remote implementation methodology as a new standard and this keeps the implementation progressing throughout any lockdowns. In fact nearly all our ongoing implementation are now operating 100% remotely. The use of cloud continues to increase and it is a key factor in the remote implementation. And with our reversed implementation methodology and cloud capabilities we’re very well placed to continue to bring clients live remotely. As a direct impact our service margin continues to improve reaching 16% this quarter and 13% in the full year. And that's been achieved through operation efficiency and the lower cost to remote implementation. So on Slide 18, as the COVID crisis hit as I said at the start of 2020 bank initially focused their efforts on business continuity and remote activities. And this meant postponing some larger CapEx decisions. However, strategic IT investment across the front and the back office is resumed in late summer driven by structuring imperative of the market and new project transformation emerged in the last part of 2020. We expect a continued strong increase in demand for SaaS from challenger and Fintech and large banks are set to accept investments again strategic on-premise software renovation. With strong growth initiative and license, I expect to reach 2019 level on a combined license basis or equivalent basis -- on an equivalent ACV booking basis by the end of 2021. On Slide 19, I wanted just to remind you and a lot of that will be obviously discussed tomorrow during the Capital Market Day that we operate in a huge market. It's a $63 billion market. And however only 27% of the spend is done on third-party software. And that compares to around 70% to 80% for all the industry that had reached maturity. So it represent an amazing growth opportunity for Temenos. And this will continue sustainably for the next 10 to 15 years. Banks are in need to invest in the IT renovation that do not have a choice. First party spend is expected to grow at 8% for the next five years. With the on-premise market growing at 6%, Temenos has a track record of growing twice faster than the market. And we will continue to do this because of our unique focus on that market, because of our unique references, because of our unique architecture and functionality. We also see dramatic acceleration in SaaS, which is expected to grow at 25% CAGR basis over the same period of time and as I mentioned, the majority of this will be incremental. Looking forward on slide 20, bank’s across tiers and geographies have resumed the strategic IT transformation projects. The COVID-19 has ultimately accelerated demand for digital transformation and we continued to benefit from structural drivers of growth now. This addition now is an imperative for banks with significant regulatory cost and competitive pressure. We recorded strong new pipeline growth and we expect the demand to accelerate in 2021. And this is obviously true for SaaS solution which remains, as I said incremented with limited cannibalization. But it is also the case for on-premise as large banks accelerate and meet banks as well their investment and strategic software innovation. With that, I will now hand over to Takis to talk to through the numbers for the quarter.
Takis Spiliopoulos: Thank you, Max. Starting on slide 22, if we look at our performance versus a revised guidance. The operational resilience of our business model helped us to achieve our revised guidance metrics for 2020. Recurring revenues, EBIT, DSOs and leverage ratio were delivered as guided while our strong cash generation lifted cash conversion to 112%. On slide 23, I'd like to give you an overview of the financial performance in Q4. As a reminder, we had closed the acquisition of Kony at the end of Q3 2019. So, the Q4 figures are always Kony in the base, i.e., organic. As Max has outlined, we had strong ATV growth of 26% in Q4. Total software licensing was down 17%, a very substantial improvement on Q3, in particular and also taking into account that Q4 2019 has been a very strong quarter. We have no cannibalization of license revenue this quarter. We acknowledge that Q3 2020 was an outlier in this respect, where two larger deals with fintechs moved from license to SaaS, which clearly skewed the picture on a quarterly basis. However, we also know that we have a very limited number of fintech deals on our license model. Overall, total revenue was down 12%, driven by lower license revenues. We accelerated our EBIT growth this quarter with EBIT up 11%, driven by tight cost control. We reached a full-year EBIT margin of 35.6%, up 320 basis points in the Q4 EPS of $144, up 13% year-on-year. We continued our strong cash performance in Q4 and delivered operating cash flow of $406 million, up 12% year-on-year and an operating cash conversion of 112%. We ended the year with DSOs at 111 days, down 9 days year-on-year and with leverage at 2.1 times, both in line with guidance. Based on our strong balance sheet and the resilience and visibility of our cash generation, we are launching a share buyback program of up to $200 million to commence on the 19th of February. We are also proposing a dividend of $0.93, up 6% year-on-year, demonstrating our confidence in the attractive outlook for the business. The proposal is subject to shareholder approval at the 2021 AGM. Now moving to Slide 24, I will run you through some key figures for the quarter and the last 12 months. The strong growth in recurring revenues demonstrates the resilience of our business model in the face of disruption from COVID-19 in H1 2020 and is key to our strong cash and profit performance in this quarter and the year. Our SaaS growth of 44% benefited mainly from a significant number of transact signings, but also from the contribution of Infinity. Maintenance grew 1% this quarter and 7% for the full year as we saw the delayed impact of weaker licenses from H1 2020. However Q4 2020 clearly marked the trough regarding maintenance growth. We already expect maintenance growth to accelerate to around 2% to 3% in Q1 2021 and converge towards 4% to 5% growth for the full year. Beyond 2021 the strong license growth forecast for this year will again lead to maintenance growth acceleration in 2022 and beyond. Services revenue declined 9% this year due to the delayed impact from weaker licenses and as we continue to work closely with partners, services will also return to solid growth in 2021. Looking at the cost base, our operating cost declined 26% this quarter and 13% in the full year, driven by a combination of lower variable costs and the full impact of the cost initiatives which we had commenced in Q2 and concluded in Q3. We were also able to improve our service margin to 16% in the quarter benefiting from the cost initiatives, but also the efficient allocation of resources in remote implementations. Now on Slide 25 we show like-for-like revenues and costs adjusting for the impact of M&A and FX. As a reminder we closed the acquisition of Kony at the end of Q3 2019. So Q4 figures reflect the Kony business in the base and are therefore all organic. In terms of FX, the stronger euro and Swiss francs had a positive impact on revenue but also negative impact on costs. Taking into account all currency movements and hedging FX had a small positive impact on EBIT in the quarter. Total software licensing declined 17% like-for-like this quarter and services also declined 21% as some implementation processes continue to be delayed and we started to see the impact of lower license signings in H1 on service revenue. Maintenance grew 1% like-for-like in Q4 2020 and as I mentioned before clearly marked the trough regarding maintenance growth. We already expect maintenance growth to accelerate to 2% to 3% in Q1 2021 and converge towards 4% to 5% growth for the full year. The overall like-for-like decline in revenues was 12% and our like-for-like cost space was down 26% driven by lower variable costs as well as cost savings program. Turning to Slide 26 net profit and EPS both grew 13% in the quarter. And in the last 12 months net profit declined 2% with EPS at minus 1%. Our tax rate was 13.9% for the full year. And we see the fiscal 2021 tax rate at 16% to 18%. Our medium-term tax rate of 18% to 20% is a normalized run rate for the business. On Slide 27, our DSOs ended the year at 111 days. This is down nine days versus 2019, which included the impact of the Kony balance sheet. Throughout 2020, we have seen no issues with our clients’ ability to pay nor did we have requests for revised payment terms. We plan to continue our good performance and DSO reduction and aim to end below one or five days by the end of 2021. We will update our medium-term target for DSOs at the Capital Markets Day. But we clearly see DSOs declining further to reach levels comparable with software peers, driven by strong cash collection on licenses and increased contribution from South and a continued reduction in DSOs linked to services as more implementations are carried out by partners and remotely. On Slide 28, our Q4 last 12-month cash funding version was 112% well above our target of converting at least 100% of IFRS EBITDA into operating cash. We expect our cash conversion to be at least at 100% for 2021 driven by strong growth in recurring revenue. On Slide 29, we showed the key changes to the group liquidity over the year. We generated $406 million of operating cash flow in the year and had net reduction in borrowings of $371 million. Our cash on balance sheet at the end of the year stood at $110 million with our net leverage reaching 2.1 times. The weakening US dollar versus the Swiss had a negative impact of opening two times on leverage in the full year. We expect our net leverage to remain at comparable levels at year-end 2021 accounting for the share buyback and the free cash flow generation. Now turning to Slide 30, we present key elements of our 2021 outlook. As you have heard from Max, COVID-19 has accelerated the pressure on banks to innovate and invest, which we see a strong demand driver for the year and continuing the improvement witnessed in Q4. There are compelling drivers for banks to change. Banks do not have a choice. This is why on-premise market for banking software, both core and digital, will continue to grow at a very healthy rate. On top, we see largely incremental demand for our SaaS offering coming from fintechs and challenger banks. On this slide, we have outlined the various drivers providing revenue visibility for 2021 and therefore backing up our confident outlook. We see a very solid pipeline of license deals and accelerating demand for SaaS ACV. We have good visibility with Tier 1 and Tier 2 banks, resuming their continuous renovations, and we will drive higher sales to our increasing installed base. As in the past year, we expect to see again the strongest demand for our transact and infinity offerings across both licensees and SaaS. Now moving to Slide 31; we show our future reporting KPIs with the majority of revenue placed today. We are introducing two new KPIs to help you monitor the progress we are making. We are giving a target for total bookings, which includes the fair value of license, committed maintenance and SaaS. This will give you an indication of how the total new business generated is growing and should make the acceleration of our business visible. We will also guide and report on annual recurring revenues, ARR, which we consider best practice to demonstrate the growth trajectory of our recurring revenue streams. ARR is defined as all committed revenue across SaaS and maintenance and will include new customers, cross and upsell and any attrition. Now turning to Slide 32, let me spend a bit more time to present our guidance for 2021. The guidance is on a non-IFRS basis and in constant currencies. You can find the FX rate assumptions in the appendix. The 2021 guidance is based on the outlook statements presented on the previous slide. We clearly have seen a steady improvement in Q3 and continuing in Q4 in our end markets as banks have adapted to the pandemic. Banks have proven very resilient and have returned to conducting strategic transformation project, which will drive demand in 2021 and beyond. The structural demand drivers for banking software remain firmly in place. We are guiding for a sustained strong ACV growth of 40% to 50%, which we see to a large extent incremental. For ARR, we guide for 10% to 15% growth driven by our locked-in strong SaaS growth and reacceleration of our maintenance growth from Q4 trough levels and while we maintain limited attrition on both the revenue streams. Total software licensing, a key P&L metric should grow at 14% to 18% reflecting both the strong recovery and license growth and SaaS performance. Total revenue growth is forecast at 8% to 10% as we digest a temporary, somewhat slower growth of maintenance and services which are set to accelerate in 2022 and beyond. From 2021, we will be excluding the costs of share based payments and related social charges from our non-IFRS presented financials i.e., IFRS 2 costs. The change of methodology is supported by the fact that these expenses are non-cash items. Our current non-IFRS adjustments already exclude all other non-cash related expenses. This approach is common practice in a large number of listed companies as such more than 60% of companies in our peer group adjust our earnings for the costs of share based payments. We have provided the IFRS 2 costs for both 2020 and 2021 for reconciliation purposes. We guide for an EBIT growth of 12% to 14% to $364 million to $371 million implying an EBIT margin expansion of 120 basis points from 36.0% to 37.2%. As we have repeatedly said, we see no need for a catch up in investment and we are very confident that we are now back on the EBIT margin expansion path from 2021 onwards even with a higher share of SaaS revenues in the mix. Please note that we have provided additional disclosure of the impact of the HCL transaction for the Kony non-banking customers signed in June 2020. In 2021, we now have the full year negative impact of the run rate of H2 2020, and therefore a considerable impact on the growth metrics. You can see that our underlying growth rates for total software licensing, total revenue and EBIT will be markedly higher. We have maintained our operating cash conversion target of converting over 100% EBITDA into operating cash and expect DSOs to be below one or five days by year end 2021. We expect that 2021 tax rate of 16% to 18% and our net leverage to be at comparable levels. On Slide 33, we demonstrate for the midpoint of our 2021 guidance, our strong visibility on EBIT margin expansion driven by recurring revenue and supported by the license growth on the back of a very solid pipeline. This leaves us enough room to accommodate the increase in variable compensation and investment in the business, but still leaves enough flexibility to ensure we deliver on our profitability guidance with EBIT growth of 12% to 14%, implying the EBIT margin rising by 120 basis points from 36.0% to 37.2%. As previously mentioned as of today, we are excluding IFRS 2 costs from our EBIT margin targets. Moving to Slide 34, to be fully transparent in our disclosure, we provide the same EBIT reach under our previous EBIT definition including the IFRS 2 charges. You can observe that our EBIT margin would expand by 40 basis points to 35.2%. Finally on Slide 35, let me briefly talk about the share buyback program. Based on our strong balance sheet and the resilience and visibility of our cash generation, we are launching a share buyback program of up to $200 million to commence on the 19th of February and to end on December 30, 2021 at the latest. With that, I will hand back to Max.
Max Chuard: Thank you, Takis. On slide 37, just to remind you that we are hosting our virtual Capital Market Day tomorrow starting at 2:00 PM CET. I hope that most of you will be able to join us to discover and discuss the very exciting opportunity that Temenos have in front of us. And finally on slide 38 we recorded as we discussed a strong sequential improvement in Q4. We have seen the closure rates improving significantly in particular in Europe and the predictability of our business as we turn to near pre-COVID levels driven by structural imperatives banks have returned to strategic transformation projects both on SaaS and on on-premise solutions. Our businessmen have demonstrated great resilience, protecting profit and cash flows through sticky working revenues and great cost flexibility. We continued our investment in R&D and key safe position and we are well-positioned for strong growth in 2021 and with an immediate strong start in Q1. With that operator, I'd like to open the call for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from James Goodman from Barclays. Please go ahead.
James Goodman: Greetings and thank you. Encouraging to see the additional KPIs. And you've been very clear that there's no significant substitution still from core to SaaS. I think it's fair to say there's been a broad expectation that you would consider a That you would consider a faster transition at the CMD and clearly we did see the two large deals as was mentioned in Q3 switching. So the first question is why you think it is that you don't see a broader acceleration in your core customer base and what way you wouldn’t sort of encourage that from your side. I'm sure we'll talk more about it tomorrow. But some introductory remarks there would be helpful. And then secondly and it’s a bit linked to that. But just coming back on the maintenance, I take the point in terms of the year-on-year growth but just want to look at it sequentially where it was down in the fourth quarter and really ask you why that was. And if we aren't seeing any sort of substitution there out of maintenance to SaaS, those are the questions. And just one more clarification maybe for me if I can just triple check on the HCL point. The growth rates you've got in the outlook when I look at those calculators, it looks like those are the growth rates you're guiding to. And then you're just calling out that HCL is a headwind that would have driven higher growth rates than you're showing. We don't need to make any further adjustments for HCL if you could just confirm that. Thank you.
Max Chuard: James maybe let me take the first one. And it's true that obviously we'll discuss this in quite more details tomorrow. And so first on our existing customer base. We feel pretty confident that the, our existing core customers will not move or will move very slowly and gradually if you want towards a potential SaaS offering. And the reasoning is really that today our customers that are using our modern platforms on-premise, they still get a very large benefit from a cost point of view by running on our modern technology. In fact we’ve not seen the need for them to go the next mile until us going to be the solution for them. So if you want what we’re discussing quite some lengths to more is in fact, the product that we run a SaaS or that our customer run on-premise is the same product. And I think this is the main difference that that you get with Temenos is the investment has been made the product easier. We've got 60 customers, more than 60 you know on our SaaS challenger banks. It's the same product that is run on premise by bank. So they get the benefit of the modern platform. And if you want the fact that we run it for them as a SaaS get -- they do get some more benefit, but it's not significant as such. And you will see that tomorrow we discuss that some of our customers that moved to SaaS are able to run and reduce costs up to 90% in some cases. However 70% of that improvement that can already get it on-premise with our modern solution. So I think that I would say the easy element apply, we don't see if you want our customers are moving fast towards to SaaS and very gradually over many years. Now that's for the existing customer base. Now for the new customers, and also that we will discuss at length and we'll discuss between the different tiers of customers. Today what we see is really challenger banks and fintechs. So that’s really the type of segmentation of customers that decide to move to SaaS. And this is great, and this is as I said this is incremental. And it's -- it's you know it's not something that we -- that we have been doing in the past that would not have been able to create a new banking always on reserve the infrastructure on-premise. So that's very clear SaaS market. The largest bank it is the vast majority of them is on-premise. Now some of them use cloud, if you want. But they’ll be run themselves. They will not ask us to run the cloud operation. And that we don't see for issue on for the medium-term Tier 1 bank asking us to run the solution, that will certainly be using cloud more and more in the future. But there will be running it himself or as a partner to run it for them. And then you've got the mid-tier banks up where also by and large it’s still on-premise. I think this is probably the market, if we look at it for the next five years that you would see some of them moving in the future potentially towards our SaaS solution. So that's if you want to answer why it's by far which one is the opportunity is by far incremental. And I think Takis has very nicely clarified. It's true that in Q3 we had those two highest [indiscernible] fintech that started the relationship through a license and then moved through -- through SaaS. But you know we don't see that really I think all the Syntax going forward will go the IT SaaS south and not on the license side. So -- but listen during the event more and we discussed this in more details Takis Spiliopoulos to take these two next question that James had.
Takis Spiliopoulos: Yes, hi James. So on the first one maintenance yeah I appreciate there was this Q4 number dropping. However, there were a couple of if you want special items. Number one as I mentioned the non-banking core new clients moving to HCL. This is something which is also linked to specific timing. So it was a very good quarter i.e. for HCL i.e. moving. So we had a quite attrition on that side. Number two, there is also the attrition of our -- if you want core Temenos business while still lower the usual 2%, 3% you can still see some timing there. And the third one there was as you remember we have still a very strong European customer base. And in Europe was quite weak over the first two three quarters. So that was basically also the delayed impact from the weaker license growth in the first three quarters. But again this is very temporary and this is why we're going to see in Q1 already a sequential increase in absolute terms. On HCL you're correct we're just flagging the headwind on gross numbers. No adjustment needed to the numbers. As a reminder the usual bulk payment we received from HCL is always in Q2. So, that is both in the base of 2020 and in 2021. So, that does not affect the gross variant.
Operator: The next question is from Sriraman Chandramouli from Stifel. Please go ahead.
Sriraman Chandramouli: Yeah. Hi. Thanks for taking my question. Just a couple, firstly, Takis if I just back-calculate based on your comments on SaaS growth, would you say a double-digit license revenue growth is still on the cards? Just wanted to double check my calculations. The second bit is we also saw a strong bonds in terms of Europe and Tier 1, Tier 2 deals in Q4. Is this just a Q4 seasonality or did you just see something more in terms of willingness to spend from these regions than banks? Thanks.
Takis Spiliopoulos: Thank you. So, maybe I'll take the second one. Hi, Chandra. Yes, it was great to see Europe coming back in Q4. And clearly, Europe was the region's most challenging for the first three quarters. I think Europe is going clearly to improving 2021. There is no question about that. And so, I think I feel much more comfortable about what we can achieve in Europe in 2021. And we see pipeline building, and I think more broadly, we saw the predictability of our business clearly improving. And I think that's very reassuring. It started in Q3, and then, in Q4, these we started in Q3 and then in Q4 the predictability the sales process was clearly -- was almost the same as what we saw in pre-COVID, clearly Q4 you do have strong company events the customers they do want to close the deals at the end of the year so very strong compelling events that you get less you know in the other quarters. But definitely I expect if you want Europe to perform much better. Now the fact that the environment is improving is clearly also bringing now the Tier 1, the Tier 2 that delayed spendings both existing customers and new customers and there as well we see -- we say the pipeline is developing very nicely with larger banks so as well I think you’ll see in 2021 a Tier 1, Tier 2 coming back towards more normality as we saw in Q4. So ultimately we see in 2021 the continued improvement of the environment. As I mentioned and I wanted to spend a bit of time on the slide as ultimately this is structural for banks. They've got to innovate and engage more and more. So it's now a few quarters that our CEOs of banks are again engaging to see how that will address the structural challenges that they are facing and they know that with COVID-19 the one that are or technology the clearly struggle to cope with the crisis compared to the one that they were using modern technology.
Max Chuard: Yeah. Hi, Chandra. Let me take the second one. If you do the math from our total software licensing guidance from 14% to 18%, if you take the midpoint at 16%, and account for the 30% SaaS growth we have said when you arrive but 11% license growth at the midpoint. So this is clearly double-digit. The last consensus we had compiled was at 7% or so. But again keep in mind, we have about 4% to 5% headwind on license as well from HCL. So the underlying license growth will be more like 15% to 16% if not taken by HCL.
Operator: The next question is from Michael Foeth from Vontobel. Please go ahead.
Michael Foeth: Yes. Thank you. Good evening, gentlemen. Two questions from my side. The first one is regarding your license revenues again. What -- sort of what is the percentage of your license revenues in 2021 that you have already very good visibility on based on progressive renovation projects? That will be the first question. And the second question is in your guidance, do you already include any contributions from the DXE deal announced today or would that be incremental business?
Max Chuard: Takis, I think those are for you today.
Takis Spiliopoulos: Yeah. Let me take that one. In terms of visibility as we have provided, the various drivers of visibility, if you put that all together, we would say we are not very, at not very different levels. And in prior years, what we said you know around 80%, 85% we have visibility on, so given that you know there is still you know some, some effect from the pandemic, we saw in 2020. But clearly also strong improvement, also that helps improve visibility and as Max mentioned, the predictability has increased, the closure rates have increased. So I think we feel comfortable with -- with that level. On your second question, no, our guidance does not include any potential business upside from DXE.
Operator: The next question is from Charles Brennan from Credit Suisse. Please go ahead.
Charles Brennan: Great. Thanks so much for taking my questions. I've got I’ve got two actually. The first is just back on your license comments about that being something like 10% growth implied at the midpoint and 15% excluding HCL. That's obviously a reasonable run rate but it does come off a minus 30% comp in the prior. I'm just wondering to what extent could that end up being far too conservative given how weak the comp is. And are there any metrics you can provide us around a pipeline cover and closure rates that you're assuming that can give us some visibility into how conservative you might be being. And then secondly on a on an unrelated matter, can you just talk about the share buyback program. Does the share buyback program actually reduce the share count or does this nearly offset the issuance from share options. I must admit, I haven’t been to the granularity of investing schedules?
Max Chuard: Okay. So let me take those two, on the first one I think Charlie it’s early in the year and we have mid-February and providing an idea hyperbole outlook is probably not the right timing. What Max has said and in terms to give you a bit of granularity we while we see a lot of improvement in the closure rates and our pipeline to sales ratio is providing with sufficient ammunition and sufficient coverage we still know our guidance does not incorporate if we go basically right now back to pre-COVID levels in terms of conversion ratios. I think this is something we reinvasion for towards the end of the year or 2022 and this is what we have based our guidance on. So should those conversion ratios improve faster? Clearly that would be a potential upside. But right now we feel clearly comfortable with this one. And also what we -- what Max mentioned you know we feel quite comfortable to bouncing back towards 2019 levels in terms of bookings. So you see in terms of business volume we were actually going back to 2019 levels. It's a bit of a different mix, a bit less license revenues and more source. So this is providing with some picture that we see actually a very good environment out there. On the share buyback and when you apply for a share buyback with the regulator you'll have to state what your intentions are. So for us, as in the past, we’re going to use the shares predominantly as if available eventually for an acquisition currency. And if required if we run out of additional capital also for share compensation plans which we haven't done now for a while. So clearly it's something you know we look at as investment. And clearly if you look at M&A prices are very high. So investing in Temenos shares is providing probably the best ROE for the money.
Charles Brennan: And just to help me out from a technical point of view. Do I have to think about a lower share count in the calculation of EPS or are you suggesting that we should be modeling broadly unchanged share count?
Max Chuard: Yeah, so this is the amount of shares we’re going to buyback will be excluded from EPS calculations. However, I'll let you decide on the timing and the pace. What we've going to do is clearly you know start on Thursday. So depending on how fast we execute on this program, yes there could be up to maybe 1% of accretion if we execute early, but this is really subject to market conditions.
Operator: The last question for today is from Pillai Gautam from Goldman Sachs. Please go ahead.
Pillai Gautam: Great. Thanks for taking my questions. I had -- I had a couple of them. First just coming back on licenses you comment on the visibility of licenses to relicensing as a factor. Can you please comment if 2021 is a big relicensing year? If you could give the mix of relicensing in the pipeline would be great? And second question on the EBIT guidance, so your guidance to margin expansion on a like-for-like basis was versus 2020. However there has been as you mentioned in your prepared remarks obviously less travel and some less of discretionary spending as well. How should we think of cost evolution as presumably some of these costs are coming back in 2021? Are you kind of exercising cost control in some other aspects? Thank you.
Max Chuard: Okay. So on the first one, the relicensing. No we don't see any particular deviation from past comments. Yeah, we would love to have more than the usual average of 10% to 15%. So no it's not something that we see different than in prior years. Then on the cost, yes, we provided that the costs bridge. And clearly some of the voluntary about some of the variable cost reductions are baked into our forecast. So as you remember we had announced a voluntary pay cut reduction. So that has been reversed in terms of travel costs. We have an increase in our forecast. Currently it doesn’t look like that but we expect travelled to resume eventually this year. But keep also in mind that we had taken quite some cost from a fixed cost base which help us retain the kind of margin trajectory. And the last bucket is clearly commissions and all the variable costs will go up with the kind of license performance but if you look at the breach we still have sufficient leeway we also want to pay a bonus to employees again we still have sufficient leeway in case of a call it a worst case scenario if the license growth is not delivered leeway on the investments which we will call discretionary to still deliver our EBIT growth.
Operator: Ladies and gentlemen I would now like to turn the conference back over to Max Chuard for any closing remarks. Please go ahead sir.
Max Chuard: Thank you everyone for joining us this evening and I hope to see you all virtually anyway tomorrow during our Captain Markets Day. Thank you for your time. See you tomorrow. Bye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.